Thierry Breton: Good morning ladies and gentlemen, Thierry Breton speaking. Thank you for attending today's Atos Conference Call on our Third Quarter of 2017. I'm going to share this presentation with Elie Girard, our group CFO; Patrick Adiba, In Charge of Global Sales; Eric Grall, our Head of Global Operations; Michel-Alain is not here today as he's representing in a summit on cybersecurity in Washington, D.C. which is very important for our U.S. activity. So I will start with the highlights and key figures of Q3, 2017 and I will also comment on the one specific technological focus of the Group as I started to do it every quarter. Today, it's going to be about Artificial Intelligence. Then Elie will develop the operational performance will provide you some figures on the last acquisitions. Patrick will address on group commercial activity and Eric will update you on the transformation TOP program and on some recent progresses in the rollout of automation in our operations. I will finally come back to conclude before starting our Q&A session. So I start with the main message of this quarter. I am pleased with the new quarter of progress and Q3 contract signature marked our acceleration in digital businesses and materialize the success of the Atos Digital Transformation Factory to our customers. Indeed we signed several deals in each of our four pillars, cloud, SAP HANA, Digital Workplace and Atos Codex but also in big data and cybersecurity as well as in digital with online. Currently, the most transforming sectors in digital are manufacturing with industry 4.0, healthcare, banks and e-payment as well as retail. Although, it will come but in this sectors we are already talking of deep digital end-to-end transformation for our customers with artificial intelligence and deep learning and not only with advertising agencies for the last mile of digital marketing. The revenue organic growth by division both in Q3 and for the first 9 months of the year is fully in line with our 3 year plan with Infrastructure & Data Management already between zero and 1%, big data & cybersecurity clearly above 12%, Worldline in the 5% to 7% bracket and Business &Platform Solutions 2% or 3% to 4% range. In Q3, we continue to execute our M&A strategy. We are quite on targeted companies in the payment area, in secured communication networks and cybersecurity, in healthcare consulting in the U.S. and in cloud orchestration. We continue our investment to reinforce the Group technology lead in particular, in cognitive solutions, cybersecurity, automation and deep learning and artificial intelligence. In a Quantum Computing field, I am proud that we sold in the U.S. our new Quantum Learning Machine. The first Quantum Simulator of this kind in the world. We have a strong momentum for Atos technologies in many lapse, R&D and commercial big success. All-in-all we remain totally focused on our ongoing productivity and operational efficiency programs to deliver another year of progress in line with our 3 years plan. On the next slide, you have the key figure of the third quarter of 2017. Revenue reached €3 billion increasing by plus 11% at constant currencies and plus 2.5% organically. And sales dynamics remained strong with an order entry at €2.9 billion. This represented a book-to-bill close to 100% with 107% in Business & Platform solution and 132% in big data and cybersecurity. Finally, the total headcount was broadly stable over the quarter and down by minus 0.5% excluding the scope effect. Although, the last 12 months, it represents the decrease by minus 1.5%, reflecting the Group anticipation of automation ramp-up and Atos' focus on digital transformation skills. On the next slide, which is more for your record, I wanted to remind our organic growth plan in the last quarter. We performed our 12th quarter in a row of revenue organic growth. By importantly, we've reached a trend which is sustainable above 2%. Am I happy with that? Not entirely this quarter. As we could have achieve an even better performance especially if our U.S. operations would have delivers as I expected from that. Indeed in the U.S. we did organize ourselves well enough in order to answer all the planned demands due to lack of activity, and proper U.S. organization commercial not yet in line with the best practices Patrick Adiba has implemented elsewhere in the Group. As you know our growth momentum whether it's notably from the implementation of the strong commercial organization made by Patrick over the last three years, these organization targeting a large accounts, developing cross-selling and building innovative offerings is a success. But as I said in my view, not yet fully well enough implemented in the U.S. to capture larger opportunities that we see in the market. This is a reason why to correct it. I have asked Patrick to personally accelerate the completion of the sales organization transformation in the U.S. while of course continuing to lead at the same time the Group global commercial activity. Therefore, we will do it from now end, from the U.S. for as long as needed in order to reach my commercial expectation in this important geography. Patrick will then move to Dallas with his family before the end of this month as long as needed. In fact he's leaving tomorrow. On the next slide, you see that we continue to execute our M&A strategy as I described it for the 3 year plan. We remain of course clearly focused on large acquisitions, having strong impact on our operations and on shareholders' value enhancement of the Group. But at the same time, we need also to do some more low targeted acquisitions to advise specific topics, niches and technologies in order to reinforce the Atos' footprints and its technological digital capacity. As such we continue to reinforce our technological profile with acquisition Engage ESM and imaKumo in Cloud Orchestration and automation with zData and Big Data in AI and with CVC in the secured communication network and cybersecurity. In North America, we significantly increased our expertise in e-health with three simultaneous acquisitions to enforce our consulting capacities in this domain. Finally, to Worldline, we recently acquired three targeted companies in the payment area as part of our multiyear consolidation ambition in payment particularly, Digital River in online payment, First Data Baltics opening up in the Baltic and Nordic regions and MRL Posnet enhancing Worldline footprint in India. Obviously, we have strong pipe of acquisitions again including much more structural deals. But once more, we are doing that at our own pace and of course we are expecting our own financial discipline. Let’s move now on specific technologies focus for this quarter as I said it will be AI. So in artificial intelligence what is putting you is the maturity of Deep Learning technologies enabled by dedicated algorithm and new High Performance Computing program. Artificial intelligence need four end-to-end elements that we have already developed in Atos for our customers. So you read the slide from one to four. One, first, the data lake, Atos’ mission is clearly data-centric. With our infrastructure and data management activity, we host the data for our clients. This data legacy constitutes enormous data lake that puts us in a unique position to store, process and value all the data of our clients. As the largest hosting company in Europe and on European market, we are the only European company to have this capability of end-to-end valuing the data of our clients on a secure basis. Indeed every day, we deploy, we integrate, we process, we manage, we handle transactions and we secure our customers’ data. We have been doing this for years, even decades for some customers and we are known as the trustworthy partner with a deep knowledge of our customer business challenges. Second, the Deep Learning level, Deep Learning is a two-stage process with a training phase and an execution phase. We have very strong teams in algorithm, in particular, in our new quantum research center in Les sous-Bois near Paris. By the way, we are pleased that our new quantum algorithm research lab near Paris was recently awarded with significant financing from the Greater Paris region. We also benefit from our strong ties with the best academics in the world on this subject. And finally, we are very active on financing and outstanding ecosystem through partnership and even JVs. Third, High Performance Computing. Of course, Deep Learning and models training require high computing power. Thanks to our Sequana High Performance and Bullion’s high server, we have one of the best computer system in the market. We process this Deep Learning phase on our own systems and also on behalf of our peers. The fourth element is key. It represents the capability to integrate the three prior element in AI, value-added solutions for our customers in order to hedge them to reinvent their business model. This requires a deep understanding of our client challenges and their trust. With Atos Codex which powers our perspective data analytics solution and thanks to our unit position in Cybersecurity, we have been able to develop verticals end-to-end solutions. Finally, all of that was possible thanks to our talented datacenter teams, which have been reinforced recently through our partnerships with the best universities and also the skills inherited from the recent acquisition of zData and also from the U.S. e-health acquisition that I announced previously. We continue to enhance the model, the knowledge and the design of dedicated hardware to be able to extend our capabilities wherever our customers we needed in the cloud in the datacenters, but also in the fields in their own datacenters or in their own manufacturing plant. As shown on the next slide, thanks to our unique positioning in data legacy storage, we are ready to help our customers to use the data, thanks artificial intelligence already embedded in our offerings, predictive maintenance, e-health, digital marketing, perspective security operation centers also in transaction processing or fraud detection with Worldline. And this is true in all the verticals in which we serve our clients. We already enabled predictive maintenance for Siemens or for Disney to provide product manufacturing improvement for Varian and real-time forecast for the City of Eindhoven and also plenty of other applications matching the particular needs of more and more all our customers. Let's take manufacturing for example. We were one of the first to invest in artificial intelligence in this field notably thanks to our partnership with Siemens, developing together to MindSphere data analytic platform. On our own, we set up several platforms adapted to the specificities of each vertical. This platform gather all the tools, algorithms, computing layers, and pre-trained models to accelerate at artificial intelligence enablement. Marginally speaking, AI is an underlying technology of most of the solution that we are developing today notably automation, cybersecurity end to end. It enables us to sell commoditized services and to move into the value chain. Elie, this concludes my first introduction and now the floor is yours.
Elie Girard: Thank you, Thierry. Good morning everyone, it's Elie speaking. I'm going to cover the operational performance of the third quarter. First, as usual let's start with the reconciliation between statutory and consent scope and exchange rate revenue. We've reached €3 billion and 2 million in Q3, representing growth year-on-year of plus 8.1%. Starting from statutory Q3, 2016 revenue, exchange rate negatively contributed by minus €69 million. This mainly came from the American dollar and the British pound both depreciated versus the euro in this period. As such, revenue at constant exchange rate grew by 10.9%. Scope effected amounted to plus €227 million, this was mainly related to the positive contribution of Unify Software & Platforms for three months, Anthelio for three months, Equens, PaySquare and Komerçni Banka Smartpay for three months. Therefore, revenue growth at constant scope and currencies was plus 2% to 5% in Q3. Next slide presents the performance by division. In a nutshell, all divisions posted a positive organic growth and are on track towards their three year plan. Thierry already reminded you the brackets for the four divisions in the three year plan. The sales organization continues to focus on cost savings between divisions and primarily on the portfolio of Digital Transformation Factory offerings. I mean by that the four pillars; cloud, digital workplace, SAP HANA, Codex, and of course cybersecurity in digital payment. I am going now on the next slide to comment on the four divisions. Representing 57% of the Group revenue in the third quarter of 2017 Infrastructure & Data Management revenue was €1.712 billion, up plus 0.9% organically. This performance was particularly sustained by two pillars of the Atos Digital Transformation Factory, the Orchestrated Hybrid Cloud where the growth was plus 32% and the reinforcement of our leadership in digital workplace. Both pillars progressively replaced part of the classic infrastructure and workplace environment. Growth materialized primarily in the public and health sector notably in France. In North America, thanks to increased volumes with the Texas Department of Information Resources coupled with contracts ramp up like with Georgia Technology. And in Benelux and in Central Europe, thanks to higher volumes with European Union institutions. Manufacturing, retail and transportation posted a solid performance in several geographies fueled notably by new contracts with Rheinmetall in Germany, Johnson & Johnson in North America, Philips in the Netherlands and with the subsidiary of Xerox in the UK for its digital workplace services development. Financial services benefited from a strong growth in Asia Pacific sustained by higher volumes and large deliveries with Standard Chartered Bank. In Q3, the division platform led volumes with National Savings and Investments in the UK and with Deutsche Bank in Germany. Telecom Media & Utilities was impacted by the new contracts for the IT transformation of BBC in the UK where we have a smaller scope due to the re-insourcing of part of the business. The contract signed with Enel in Italy started to ramp up while on the opposite some contracts in North America were ramping down. Finally, the growth of the division IDM in the upper part of the range of the three year plan was achieved despite the residual impact of Unify S&P during the quarter, primarily in North America. Then representing 25% of the Group in Q3 2017 Business & Platform Solutions is presented on the next slide. As planned the division with 2.2% organic growth confirms the positive trend recorded in the previous quarters and benefited from increasing project activities driven by the acceleration of digital adoption among customers. The division delivered project to expand the automation capabilities of its customers and in Industry 4.0 based on Atos Codex for large manufacturers. The division also worked on several projects of migration from classic ERP to S/4 HANA where the demand is increasing. During the third quarter, growth materialized more particularly in the UK, in Middle East and Africa, in South America and in Central and Eastern Europe. Public & Health was the main growth contributor. In Manufacturing and Retail and Transportation growth was led by Germany, fueled by the ramp up of Rheinmetall and larger volumes with Siemens as well as the by the Central and Eastern Europe with several new contracts. In Telecom media & Utilities the activity was solid in Italy, in Iberia and South America. Thanks to several new projects while the situation was more challenging in Germany. Finally, in financial services, the activity remained globally stable except base effect in Asia-Pacific further to a non-repeatable sale in Q3 last year. Next slide, regarding Big Data and Cybersecurity. The division continued to report a strong growth in Q3 with 13.8% organically. As per trend recorded in the customer service performance was robust in most of the geographies. In particular growth was driven by cybersecurity activities for new clients such as the Department of Energy and Climate Change in the UK and also thanks to an efficient cross selling strategy to serve existing infrastructure and data management customers such as Xerox in North America. Sales in mission critical systems were also dynamic notably thanks to a strong homeland and security activity in particular in Germany with the governmental agencies. Big Data activities posted strong growth driven by dynamic bullion as well as high performance computing activities, mainly with the German government but also with the HPC sales in Middle East and Africa. Let's turn to Worldline on the next slide. The Worldline contributed revenue was €375 million up by plus 6.4% organically. Revenue for financial processing, which includes the acquired Equens business was up plus 6.8% organically pulled by the dynamic activity of all its businesses. Issuing processing benefited from increased volumes of card transactions as well as the strong activity in authentication services. The acquiring processing was particularly dynamic while digital banking continued to grow, thanks to new projects in France and in the UK. Finally, the account payments business performed higher volumes on the ideal payment platform in the Netherlands and started to generate revenue from the rollout of new clients to the new Payment 2.0 platform. Merchant services revenue grew organically by plus 6.3% driven by a continued volume increase and positive business trends in Benelux and from the recent acquisitions PaySquare and Komercni banka Smartpay. The activity also benefited from the strong momentum led by the demonetization in India. Finally, the revenue in mobility and e-transactional services increased by plus 5.9%, this performance was led by the trusted digitization business particularly in France in the public sector as well as in Latin America in healthcare and tax collection and in e-government collection France and in Austria. Let's move to the next slide with the performance by business units. Revenue growth during the third quarter of 2017 was contracted across the Group business units. Indeed, some business units was strongly growing, while others were roughly stable. Germany posted the steady growth thanks to the delivery of several new project in digital workspace and in the industry for the Group for manufacturing, automotive and public sectors. Revenue was also positively impacted by the demand for higher customer computing in the public sector. Regarding North America, Thierry made earlier a precise assessment on the Q3 performance and on the actions that have been launched. And just add to that North America continued to rollout the orchestra to hybrid cloud and digital workplace offerings with customers despite cost reduction of some contract in infrastructure and data management. Big Data in Cybersecurity benefited from new contract and business and platform solution, revenue grew in the third quarter. As we got the unified, this activity is still lagging behind in the U.S. and excluding unify North America would have posted close to 2% organic growth. United Kingdom and Ireland manage to compensate for the BBC partial reinforcing which impacted infrastructure and data management, indeed the business and platform solutions activity grew in all verticals phase to new project in SAP HANA in digital workplace and in data analytic services for existing infrastructure and data management customers in the private sector as well as for new clients in public. The strong revenue increasing Big Data and Cybersecurity was driven by Atos Codex inside the security deal. The plus 4.9% organic growth in France mainly came from the ramp up of hybrid cloud orchestration project and deliveries when this year in defense, insurance and public administration sectors coupled with additional HPC project and cybersecurity activities in the education in different sectors. Codex solutions also feel the business unit performance through new projects in public and health and in manufacturing retail and transportation. In Benelux & the Nordics, revenue was roughly stable, thanks to the continuing recovering of infrastructure and data management benefiting from high volumes and contract ramp-up in Manufacturing Retail and Transportation and Public Health. Other business units were up plus 5% o 6%, thanks to the strong performance of infrastructure and data management with contract and hybrid cloud orchestration and digital workplace for customers in the energy and clinical sectors in Italy and in Central Europe. Growth also came from Middle East and Africa, thanks to business and platform solution with project delivered in the public sector and to the sales of HPC for Big Data and cybersecurity. Finally, Worldline platform plus 6.4% revenue growth with the positive contribution from all its business and as mentioned before. On the next slide, total headcount was 98,692 at the end of September 2017 broadly stable compared to the end of June 2017. Excluding scope effect though, it would present a minus 1% to 5% year-on-year decrease reflecting the Group hiring policy and focus on digital transformation skills anticipating the implementation of automation. In that context, the Group will shoot the digital training and rescheduling public schemes. For your record, attrition was 11% to 9% group level and 17% to 7% in offshore countries. In the next two slides, I would like to provide you with some figures and the recent acquisitions and to comeback on the business platform by each of them. First, the Group agreed to acquire from Siemens a subsidiary convergence creators CBC, a global noted industry digital transformation solutions provider. CBC, there is a software-based solutions in the field of communication network and enterprise cybersecurity. After decommissioning of non-strategic activity, CVC should contribute to Atos for the revenue by circa €50 million on an annual basis with a positive operating as soon as 2018. The transaction is expected to be closed end of December 2017. Then following the successful acquisition of Engage ESM in the UK in January 2017, the Group reinforces its leading global position in ServiceNow implementation and training through the acquisition of imaKumo, a Gold ServiceNow partner with circa 70 certified consultants mainly based on France. Then on the next slide in North America, the Group performed the acquisition of three companies involved in consulting services in the healthcare sector. Pursuit Healthcare Advisors, Conduent's Breakaway and Conduent's Healthcare Provider Consulting. The three companies would represent a total 2017 estimated revenue of circa €70 million with an operating margin rate at the Group average. In payment, for Worldline we also signed three acquisitions, of which two are already closed. First, First Data Baltics, leader financial processor in the Baltic which provides a large range of outsourcing services to the main Baltic banking groups and also to some banks in the wider Nordic region. Then, Digital River, a Swedish company which delivers online payment acceptance on the basis of its own online platform and optimized solution for leading enterprise brands including e-payments collecting services. Finally, MRL Posnet is a technology-led integrated merchant-acquiring solutions provider and one of the fastest growing payment platforms in India. Those three Worldline acquisitions would represent a 2017 estimated revenue of circa €55 million and will be accretive on Worldline growth profile and profitability. Finally, let me finish my section with an update on the IFRS 15 implementation on the next slide. As detailed in the 2017 half year financial report, the Group identified three main potential effects on its figures following the application of IFRS 15 as of January 1, 2018. After a deep assessment only one of them relating to resale activities and associated services has a more material effect. Indeed the Group has performed an analysis of the nature of its relationship with its customers to determine, if it acting as principal or as an agent in the delivery of a contract or part of it and in particularly in the resale of hardware of IT services division, even if the Group tends to sell more of its own hardware further to the Bull and Unify acquisitions. As a whole the Group estimates a circa minus 5% effect from IFRS 15 on 2017 revenues and a circa plus 50 basis points on its operating margin rate. Of course needless to say that this will have no impact on the operating margin and free cash flow amounts. Thank you. And now Patrick the floor is yours.
Patrick Adiba: Good morning, Patrick Adiba speaking. I will comment on the commercial activity of the quarter and specifically on our successes with the Atos Data Transformation Factory. The total Group order entries reached €2.9 billion in Q3 which represents the book-to-bill ratio of 96% for the quarter, which is a very good performance for Q3, which historically was at levels below. Book-to-bill ratio reached 107% in B&PS and 130% in Big Data and Cybersecurity. This ratio was 87% for Infrastructure & Data Management, where Q4 is usually a big quarter and where several large deals are expected to be signed this year. Finally book-to-bill ratio was 1.3% for Worldline. In line with this positive evolution of Atos commercial activity, the full backlog at the end of September amount to €22 billion representing 1.8 years of revenue. The full qualified pipeline was €7.3 billion at the end of September, representing 7 months of revenue. These results put our commercial activity on track with our full year expectations notably considering the contract to be renewed of signing Q4. They contribute to both IDM and B&PS activity in all our four main geographies in particular, North America, Germany and UK. On the next slide, on top of the main contracts won during the quarter such as McGraw Hill Education, C-Discount Network Rail, Hallmark Cards, Driver and Vehicle Standards Agency, and MBDA, let me highlight some wins with the Atos Digital Transformation Factory behind these figures. In order to echo serious message with this quarter, so I'm focus on North America customer with Bridgestone, New York Blood or San Luis Potosi Institute and some focus on healthcare customer stories we lead in the University, medical center, University Collage, London Hospital and Ferring Pharmaceuticals. As usual, I will illustrate some successes with some implemented digital transformation cases. First in the hybrid cloud, we closed the deal with another successful the Atos and Dell-EMC enhanced alliance. We will build and run the complete new cloud platform for the Dutch National Police. This infrastructure enables the police to reduce cost and to increase their agility in fighting crime by developing an all new space of law enforcement and security application for the police officers. I would like to give you some details of reasons for winning this deal. First, we offer the most reliable end-to-end proposition with the best value formulae. Second with the close relationship between Atos and Dell-EMC was instrumental to design the best solution. And third our strong and better security solution was key fro obvious reason for the police. Regarding now SAP HANA, amongst the win this quarter, I would like to highlight the SAP HANA application management contract with GRT Gaz until 2020. We are providing end-to-end SAP application management of financial and controlling systems including time management and asset management. This is a contract renewal that we want to thanks to digital innovation. Then we signed several deals in digital workplace and I want to highlight the one with Anglian Water, which is a most representative of the value we can create by combining the digitalization of the work environment and the adoption of digital unified communication and collaboration. Anglian Water is a good example of contract for Atos, add value by including unified solutions into a wider scope of services and thus enabling new logo growth for unified leveraging the Atos client base. In Codex, we have the lot of commercial activity and I have selected two representative deals won this quarter. First, we offer the new territory for Codex India, where we signed the Tier 1 oil company and automation of 5,000 plus retail petrol plant across the country. We provide a full integrated solution with an IoT network application and analytics capabilities for retail petrol pump with end-to-end intelligence system for real-time measurements of volumes and fuel quality. Atos was chosen because of its proven solution for retail fuel station automation, matching the requirement with superior track record of field engineering services. Additionally the increased use of online real-time data gathered from the integrated system will enable fast business achievement. So secondly in Codex, Ulster Bank, which show the operation of Atos partnering with sales force. In regards to the level of innovation and end-to-end solution and broad artificial intelligence into the heart of the bank, our solution will enable a single customer you from a relationship manager to make new cells through product recommendation. Finally, our digital journey in digital payments with Axis Bank and e-Ticketing with the Olympics as we won in addition to our existing contracting the ticking system platform for fiscal 2020, which is a base of enhancement new services for prospectus. On the next slide, on top of these commercial successors I would like to share with you my plan to accelerate in Q4. We have today applied today for contracts that put our commercial activity on track with our full year expectation. The IDM, B&PS enrolment activities in all our main geographies in particular North America, Germany and the UK, our main focus for Q4 are therefore four points. First, as Thierry said, by moving to the U.S. to accelerate the completion of sales volume and transformation with a North American team in order to reach our commercial expectations in this important geography. Second, we continue to strongly focus our commercial efforts on the Atos Digital Transformation Factory which is one of the organic growth engine of the Group. The continued focus on cost selling fueled by the ramp up of our digital portfolio solution and service has translated during Q4 -- Q3 sorry, in a 4% sales organic growth of 260 accounts. Third point, we’re increasing the unified cross selling on Atos customer base. The contract of Anglian Water is just as I described a good example. Unify new offers shows, we saw significant commercial traction and successes in particular the next generation 911 emergency core platform where we have won new contracts during Q3 in California and New Jersey and Missouri and we also have a strong pipe of important opportunities in front of us in all part of California, city level and in the New York, Miami. And finally, we continue to leverage our partnership and alliances to open new markets and create new revenue from our products, this is particularly the case for the video in memory server now sold by Dell, HBS and Cisco. And obviously we have a long list deals to close in Q4, saw them being material in each of the four divisions. Moving to the next slide, you can see the target of transformation factory is gaining more recognition from advisors. Indeed in each of the growth pillar of their Digital Transformation Factory, our leadership has been already recognized by the most influential industry analyst runs in the market. On the top of the slide, you can see the recognition of Atos Digital Transformation Factory as a whole. We recently had some new relevant references that we like to highlight on Atos Canopy orchestrated hybrid cloud TBR ranked as a top Europe player in terms of best growth in South services for the last quarter in Q2. And Gartner ranks Atos as a leader in its first three magic versions on outsourcing and IUS for Europe, America and APAC. On SAP HANA notes on Holland ASG is just front Atos as a leader in SAP HANA. On digital workplace – and ATC recognized our strong position in unified communication and collaboration thanks to the solutions developed by Unify. And on Codex, in addition to the ones on the slide, we’re waiting for new report to be released in the coming weeks, but we cannot disclose that will emphasize our vision and leadership. On cybersecurity we have recognized as the European leader, IDC in Q3 and on e-payment world line enters the top 25 intake IDC ranking for the first time. This concludes the commercial update, Eric, the floor is yours.
Eric Grall: Thank you, Patrick. So, I would start with an update on our top initiatives and other progress and that will follow also an update around our automation deployment into the Company. First, let me start with the top, after having successfully delivered our top program then our top square fund and then our top Tier 1 program, we can see a new journey of continues improvement with our Phase 2 of Tier One Program, as we presented to you in November 2016. Our TOP program is driven and delivered through an average 15 global initiatives, each one adding an interface in each geography to secure and expedite the implementation of these initiatives. So mobilizing around 160 of our best talents which I involved here, on average over 18 to 24 months on top of their normal job, which also gives an opportunity to have global exposure, every single month I spend a complete TOP team a full day to secure on one hand the recurring flow of new ideas and on the other hand the implementation of this initiative we decided to execute in order to deliver the savings. TOP is a powerful machine to execute in an efficient way the best ideas to beat the best-in-class companies. It is clearly part of Atos DNA, a recurring and competitive advantage. Moving to the next chart, we present you -- what we present to you summarizes the main initiative underway to secure our bridge from our 2016 landing towards our 2017 ambition. Starting with our 2016 actual OM rate and after taking into account pro forma and pensions adjustments we consider the impact of salary increases over the period and the regular price concessions to pass productivity to our clients. From there, we leverage our TOP initiative to offset the headwinds and generate the year-over-year improvement needed. All TOP initiatives contribute to the outcome; procurement activity from consolidation of suppliers to high negotiations, workforce management program focusing on off-shoring and juniorization to offset the salary increase; automation in our delivery of services as well as our sustained focus on ongoing improvement, for example, continued optimization of our real estate footprint, LEAN activities et cetera. Beyond these TOP recurring levers, in 2017, we have launched several new improvement program to increment our performance and deliver towards three years on that. First, our program to significantly transform our B&PS operating model and resource management organization. This is our highest program we’ve presented in the past. Second, new program to optimize our global IT. This is about also executing our own digital transformation and enabling new services to increase our agility. Third, overhead optimization, a program optimizing our direct overhead by redeploying it into client-facing billable activities. And finally, we launched a new program to further transform our support functions in particular through increased automation and digitization of our processes as well as continuing push to offshoring and outsourcing. This program is starting to deliver its first benefits in the second half of 2017 and will play at full speed throughout 2018. Adding to that the benefits of an improved volume and business mix, we’re executing on this trajectory to secure our standard operating margin percentage performance towards circa 10% for FY2017. Let me now move to the automation update, starting with IDM, Infrastructure & Data Management. Our IDM automation activities are positive very well in the third quarter of 2017 plans. We have 211 accounts largely among our largest ones where we are deploying our automation, leveraging our four streams of the automation program in IDM. Number one, the IPsoft and Arago deployment in the datacenter space and networks. Number two, ServiceNow for service request and catalogue management automation. Number three, Atos Virtual Agent for automotive and user support and service request management based on Cognicor. And number four Clickfox for real time journey analytics. Across these 4 streams of IDM automation, our automation catalog will double in H2 versus H1 and will reach circa 700 BOTS available for Atos customers in the infrastructure space. We define by the way BOTS as a virtual resource that execute predefined automated task which covers the full process. Our plan is to increase the number of BOTS in IDN to 1400 by the end of the first semester of 2018. In the third quarter, we are now reaching for accounts where we have completed full deployment of IT services and datacenter and average automation of 50% in incident resolution with the best-in-class now at 70%. We expect these numbers to increase as we add more intelligence to the tool account-by-account. On the next chart, let me now give an update on the progress of automation also in the two other divisions B&PS and BDS. For our B&PS transformation to industrialization, automation is key develop to capital expense and drive process excellence. Today, we have deployed automation in B&PS is over 100 of our customers including our top strategic market-led customers. We have successfully deployed over 1200 BOTS across our customer base and we expect to reach about 2000 BOTS by the end of this year. As an example, in one of our larger B&PS accounts, leveraging our Virtual Assistance we have achieved over 40% automation of manual human-led task, automation IT and business processes, which were repetitive in nature. We are also on track with the development of our all automation platform, so called Atos Intelligent Automation Plant, the version 1 is being roll out as we talk in this fourth quarter. Finally with introduction of the first perspective security operation center offering from our Big Data and Security division in July 2017. We are now also significantly progressing automation in the daily operations of our security operation centers for our customers. Leveraging artificial intelligence our perspective security operation centers are able to automate the response to 70% of the incoming security incidents more on top for the remaining 30% and for about two third of about this remaining security incident. The machine is offering proposed answers and all actions to the human agent for him or her to select happen. Thank you for listening to my update on the automation part. Thierry, back to you for the conclusion.
Thierry Breton: Yes, Eric. Automation is up and running everywhere. So let' move now to the final part of presentation. First in that context, we confirmed of course all our objectives for the year and for the 2019 as you can read in the slide that you have now in front of you, 2017 guidance and 2019 targets. Let's conclude this presentation with my key message. First we have a really solid growth in all our divisions in line with our three years plan targets. Second, we continued of course to our high focus on our ongoing top program, transformation program which is as you all know part of our G&A. Third, we see additional sustainable growth opportunities by completing the transformation of the commercial organization in the U.S.. Also, we keep accelerating the rollout of automation. In all of our operations and this is a technology -- this technology is deeply impacted for all the segment of the industry requiring skills, technologies and income. Five, another important message I gave you today is that in Atos, we are developing all the require skills, technologies and specific partnerships but that critical to meet the high customer demand in artificial intelligence for the Digital Transformation of our system. And finally, we are pursuing our dynamic acquisitions strategy which remained my priority with the clear focus on large acquisitions. All-in-all, we are committed to deliver another year of progress in 2017 full in line with our 2018 targets. Thank you for your attention. And let’s start the Q&A session.
Operator: Thank you. [Operator Instructions] We will now take our first question Laurent Daure from Kepler. Please go ahead.
Laurent Daure: Yes. Thank you, gentlemen. On my side few questions. The first is on your comments on your pipeline of M&A. I think your year-on-year confirming the regions where you went out to M&A, you said that for the U.S., we were lacking with visibility and it was more for 2018 that acquisitions would closed. So, as we getting closer to 2018, do you have enough visibility on the regulation there to move -- to do something a bit significant? Second is on your U.S. performance seems to be flat changing scope for fee on the renewals, on some of your contracts. In the coming quarters how much for direct could be when you all send you have last year said this could need some signatures on smaller scope? And finally you’ve been more Codex and all the wins you’ve done. Could we have any idea of roughly the size of the product in your revenue terms? Thank you.
Thierry Breton: Thank you, Laurent. So, first in M&A, so we have as I said -- large pipe of M&A and to tell you the truth I’m spending personally as with my dedicated team significant time on this. So, I’m moving and of course when we will be ready we will let you know. But your question was on the U.S., it’s true that we have many opportunities in the U.S. and let me tell you the truth as I said, I was first happy with the performance of the quarter and happy with my team by the way. Should we tell you that is what I said to the board yesterday, I little bit time out a little bit question, but I think it’s important for you to understand again my M&A strategy in the U.S. We perform well and we will continue, this is logic of progress that I have put in this company since the very first day I joined. But it’s true that I said I’m always transparent with you. I told you frankly that I was not happy because we could have done better or much better in third quarter. When I say much better it’s probably over 3%, you understand this. And this is why I hate to miss opportunities and this is why I recognize that we have some adjustment to make, of course, Michel-Alain will continue to run U.S. but we’ll have from now on three executive committee member in U.S. which is pretty normal as long as needed Patrick, Chad Harris, Patrick are both located in Dallas which is very important because this is where we have most of our people and sales resources and Michel-Alain in New York. By the way, it’s not a surprise. We are a very large company. We have four executive committee members in Munich. We have two in Netherlands. We have two in London. So I mean it’s normal to have -- to help each other in this context. If I think this is at of course I was very clear to -- also to Michel-Alain we make more acquisitions when we will reach the level I want for our U.S. operation which is definitely above 4% which is what we’ll do next year. So when we will be there, then we will make some acquisitions. We have targets, we see them. But as you know I am the manager. So I am at acquisition when I see that we grow. I don’t make acquisition to correct weaknesses, so we correct our weaknesses here or let’s say our little slippage and then we will make acquisitions. So you are right to think that it will be probably for ‘08. So, that’s for the first part. For the second one, Elie may be you can answer Laurent.
Elie Girard: Sure. Hi Laurent. So on the renewals, we are -- we have renewals every quarter in the U.S. which are the, in particular, the Xerox ITO renewals, which are distributed over time on a regular basis. We are engaged in particular for the renewals in Q4 but we are quite confident on those renewals for the first quarter.
Thierry Breton: And I think the last question was for Codex.
Elie Girard: Yes, on your last question, Laurent, on Codex, like for the -- as we said several times for the digital transformation that we are offering, these are trends, business trends that we disclosed at the time of the three year plan and we intend to give figures more on an annual basis. So we will give you a full update for the annual result but I can tell you, Patrick and Eric that -- Patrick explained, Codex is very dynamic throughout the quarter.
Thierry Breton: And I should tell you also that it attracts a huge interest from all our customers in every sector. And that’s why I spent some time on artificial intelligence because you understand that Codex is embedded with artificial intelligence.
Laurent Daure: Just to clarify on the U.S., the zero percent organic growth in the third quarter, can we consider this to be a trough and some progress as soon as the first quarter?
Thierry Breton: Oh yes, yes, of course, of course, yes. As I said is a slightly slippage. But my point is that we’ll be happy to announce what I was expecting which was a little bit more even if again my Board was happy yesterday. But I am demanding especially when I see the demand.
Operator: We will now take our next question from Mohammed Moawalla from Goldman Sachs. Please go ahead.
Mohammed Moawalla: Great. Thank you very much. So Thierry, I wanted to just come back in terms of the sort of reacceleration in Q4. You've obviously feel that U.S. can sort of bounce back. Can you give us a sense of sort of the timing? Should it be a modest acceleration in Q4 and then pick up as we go along? And then how sustainable is your pick up you're seeing in France in Q3 into both Q4 and next year. And then secondly just the more strategic question. So the Big Data cybersecurity business is now showing pretty consistent double digit growth. Can you maybe talk us through some of the broader strategic plans you have and when you talked about artificial intelligence at the beginning? And does it fit into sort of the broader M&A strategy for the Group as well?
Thierry Breton: Okay thank you Moawalla for your question. So the first one, as I said for me this is a slippage. So of course you need to start to see growth of course in Q4. And then I said in the course of next year grow 4% which is what I know that we have this platform to deliver and I'm confident here. And as I said, Patrick say in the last as long as we are here, and by the way the good news that Patrick used to live in the last in when he was younger, so he's very happy to be here with his wife and his son. In France, to be honest I was pleased with the results in France. As I said what I said about yesterday, roughly 1.5% it's a good performance. The team did a fantastic job and so the money is here. So I'm confident for next year. And we have a lot strong pipe many opportunities, so I'm confident, because we will see more signatures in the coming weeks Mo, which will again pave probably good '018. So now in terms of cybersecurity and artificial intelligence, to tell you the truth, we have been very successful with Worldline developing a strategy giving a Worldline the ability to be definitely the European leader in e-payment. And we will continue to do well and do support you have seen that. I want do same thing with cybersecurity to tell you the truth. We are already number one in Europe, and I want to give and I already give the team that performed extremely well therefore. So they're ready to make acquisitions to create JVs and we will do this. And you should probably expect to see this from us in the coming months, because we are very activity maybe one day by the way, we could do but we did with Worldline. I mean I have no taboo here. I know this is expensive, but I know also how to do it while keeping our financial agility. And yes, we are active in this field, same thing for Artificial intelligence. We are very active here. we development on stuff but also we are also discussing with many other partners. Because this is a game of clearly also big very big players in order to do partnerships all with this unique so that's something already few years behind. I decided that we should have some patents and we do. And then we are well positioned again there also to make some move partnership or JVs. And we are more reactive. So maybe we see a stuff in the coming months. I personally lead this with slip venue and charge early as you know with my senior advisor is also active in this field together with me.
Operator: We will now take our next question from Stacy Pollard from JPMorgan. Please go ahead.
Stacy Pollard: Hi. Thank you. Could I just follow up a little bit on the UK as well? When this to be we see partial reinforcing, when does that kind of loop year-on-year. And then what are you seeing in terms of midterm demand, and what would you expect the sustainable rate to be there? And then just a quick question on M&A, or actually excuse me, let me jump actually to the Group margin question regarding 2019 ambition of 11%. Is there upside in the mid to long-term or is that about the right sustainable level over the kind of long-term. And could M&A as you talk about large M&A, could that impact the Group margin at all?
Thierry Breton: Thank you for your questions. Yes, I’m happy to speak a little bit on UK. Obviously this is a point of attention for everybody regarding the situation that you are cupping there, but I should tell first that I’m extremely happy with the team we have. And Adrian is making a fantastic job with his team. And it’s true that the month is difficult, but we’ll tell you that it was to be flattish as we were and we will be positive in Q4 or even very positive in Q4, in the UK means that we have a fantastic team. It’s true that we plan to have an impact on BBC already by the way this second half. But to erase it and guess what they get me a budget next year whether they will erase everything. So, they have many plans, many opportunities they’re working extremely hard and the good thing is that I don’t have even to request with the IDs. So, I love to manage to what we have with the team where they can manage it right. So, I’m confident to tell you the truth. I know that it is a challenge. I’m coming there often too as the need of our support, but they do fantastic job and I’m positive for the UK in next year. Now, regarding -- but tell you the truth it’s a challenge and it’s especially in the financial industry as you know that the modern meet, but we see this everywhere. For the M&A and the impact on the margin. Elie?
Elie Girard: Yes. So and hi -- Stacy. On the margin beyond 2019, I don't think -- we’re going to disclose on in the Q3 announcement any figure on that of course. But on your question of the M&A, just to be clear on that any M&A we do is either expertise straight way or very soon after the acquisition and that’s been the case always in the past. So, if there is a case with the list of train, we do the integration extremely fast, I think that’s in the DNA of the Company. And therefore it is right after at least to the market.
Stacy Pollard: I guess the question was just on the margin as a percentage of revenues. Could you see M&A reducing that as a percentage of revenues or are you implying to do okay….
Elie Girard: That is my point. That is my point.
Stacy Pollard: Okay.
Elie Girard: Every time we look M&A target, small, medium and large as Thierry said, either it’s straight away accretive or if it’s more cost synergy type M&A acquisition, very quickly after the integration it has to be accretive to the margin percentage. This is the way we look at it, otherwise we wouldn’t it.
Operator: We will now take our next question from Amit Harchandani from Citigroup. Please go ahead.
Amit Harchandani: Good gentlemen, it’s Amit Harchandani from Citigroup. If I could kindly go back to your Infrastructure & Data Management, in the past you’ve talked about a mix evolution between the so called classic and if I could call it digital projects, if I remember correctly, as you’ve also mentioned at the Capital Markets Day. I just wanted to circle back and understand how do you think the balance is evolving between the classic and the digital project? Is it in line with your expectations? And what’s driving the competitiveness within the business? So that would be my question. Thank you.
Thierry Breton: Thank you, Amit. I think Eric regarding his past responsibility in our company is a best position to answer your question. Eric?
Eric Grall: Yes, so regarding your question, I think we are -- we see an evolution very consistently with what we described in as a support to our three years plan. So the classic versus digital project, most of the, if not all of the deals we sign in IDM, do embark digital transformation, digital transformation project whether we talk about the hybrid cloud deployment that we are embedding systematically into all of our datacenter bids, renewals or new deals as well as the digital workplace which is gathering extremely good momentum across our customer base. So the evolution we see if I think about the evolution to hybrid cloud is consistent with what we shared with you. So when we deploy hybrid cloud solutions to our customers into their environment, we typically have 70% of the workload that we migrate to cloud as part of the transformation we do and typically on average of 30%, 35% of the estate that stay more classic infrastructure for various reasons, mainframe or these kind of devices, or environments that we need to maintain and are more difficult and long-term to move to cloud solutions. From a digital workplace solution, when we start effectively deploying the workplace from a digital solution perspective to the customer environment, it is something that we do and complete within 12 to 18 months and it covers entire estate of the customer in general. So, yes, consistent and good solid progress which is what we -- what our assumptions were as we build the three year plan.
Amit Harchandani: Right. And just as a follow-up, if I may. You’ve also commented on some new projects win around SAP HANA in the Business & Platform Solutions Segment. Could you also confirm that it’s tracking in line with your expectations and are these wins a function of market growth or are you having genuine competitive -- genuine wins against key competitors, so called names who are considered stronger than you traditionally in SAP implementations? Thank you.
Thierry Breton: Patrick may be, for this.
Patrick Adiba: Yes, sure. On SAP HANA we see a very strong pipe and also big amount of projects. So what we are now pushing as well which is very important, is also the end-to-end SAP HANA because where we have a competitive advantage and we’re already unique actually, is to be able to do the complete transformation to HANA. Today we see projects that are starting either by consulting or by operation. And on each of those projects we have many of them in quantity, we are pushing this end-to-end, which is really where we believe we have a strongest, so yes good pipe and good perspective to sale more and more end-to-end HANA projects.
Operator: We will now take our next question from John King from Bank of America. Please go ahead.
John King: Good morning, everyone. Thank you for taking the questions. I just wanted to take a little bit more into the North America comments. I think in the release you said, that there was some scope reduction in part of the infrastructure contract. So I just wanted to understand the nature of that. Are they reinforcing a specific part of the contract so the public cloud or something? Is that going to vendors> is that going to pure play cloud? Or is it more around execution? And I guess just comments there as to whether you see that there is a long live trend or I think clearly you pretty much into slippage, but comments around that. And then maybe as a follow related to that, what the competitive environment is in the U.S. for managed services contract? So obviously we've seen the mergers, two of your big competitors. Is there any price aggressively that you see in the market potentially as a result of that transaction? And also what are you seeing under the lights of maybe Microsoft, Amazon as they compete for some of the maybe private cloud deals? Thank you.
Thierry Breton: Thank you, John. Elie maybe you can take?
Elie Girard: Sure, hi John, this is Elie. So in the scope reduction, it's mostly in reinforcing like BC in the UK. And in this range, we're seeing it's mostly low level datacenter activities to your first question. And on your second question regarding the merger of cloud competitors and the price evolution of trends in the U.S. market. So as we said earlier, we continue to see and all the engagement that we have. So we are systematically moving into the accounting the contracts with our hybrid cloud solutions or digital workspace solution. From a pricing perspective, we feel well positioned in the sense that even when we compare to public cloud, our pricing is for very significant amount of workload for the customers is making quite an impact and the difference in a positive way. And the overall market trend we feel a bit of aggressive and mostly coming from some Indian vendors who have some more headwinds in other parts and they're probably anticipated less automation that is now equivalent in hospital space. And where a little bit of that but it's not by far difference from what we expected in terms of trends. And again very consistent with what we anticipated, so no specific timing pressure from the timing perspective on the price dimension here.
John King: Understood. And maybe as a follow up, Thierry. Notwithstanding the disappointments you may be had in North America in Q3. You still delivered a very good growth 2.5% I think you've referenced you could have been at towards 3. Obviously, the corridor for growth that you see 3%, I mean where is your priority at this point? I'm sure you obviously want to go grow fast as you can. But what's the most likely scenario here that we see perhaps acquisitions that bring that growth back down again or are you happy to drive the growth perhaps some further above the 3% range if possible notwithstanding the M&A?
Thierry Breton: John, in management, the logic is not or, the logic is and. So, I’m running the Company now more than 30 years or 35 years and I always reply with logic. So, all what you said are my priorities. Like all way in life when you’re managing a company sometime you have good news, sometime you have bad news and you have to cope with it and my job is to continue to grow the Company quarter-after-quarter and to provide, but also at the same time to make small acquisition to went far our technological portfolio and to prepare for large our burnout acquisition because this is why I have geared this company to the way it is today. And I know that we need to consolidate this market and I know that we will consolidate this market, so we have to do this at the same time. We have time for two or three more questions. Thank you.
Operator: We will now take our next question from Michael Briest from UBS. Please go ahead.
Michael Briest: Good morning. Thank you, a couple of for me as well. In terms of offshore leverage ratio where we will right now both into this integration and at the group level? And then just in terms of automation, there is quite a lot of detail there on the number of parties you deployed and the target. Can you give a sense of as one both equal to one headcount that you no longer have. And it seems like that this is quite significant savings things maybe. Would you expect that you will retain the majority of those or at add contract come up for renewal you’re going to have to share those more and more with the clients going forward? Thanks.
Thierry Breton: Okay. Thank you, Michael. So, Elie you take the first one and then Eric you take the second one.
Elie Girard: Sure. Hi, Michael. So, on the offshore level we are last year at 50% in SI, though as we explain in the past we have now build the business and platform solutions organization around different segments. And we look at the offshore ratio in each of those segments in particular in application management we target to be 65%, 70% and above to our high program that we developed in the last quarters.
Thierry Breton: And the bottom, Eric.
Eric Grall: Yes. On the bottom regarding what does it mean to our consolidating into labor or labor aspects in fact it varies of course because by talking for you automating an end-to-end process sometimes the process involve in both one, two, three multiple FTEs and varies of course also in terms of the volume of activities associated to the process to the customer base and are they specific to one customer or can we leverage multiple customers. So, difficult answer as a one precise member, I would say it ranges between two, three up to six, seven behind the bottom. But again varies – it varies a lot and also infrastructure versus application space.
Michael Briest: And would you expect the savings to be shared at renew with clients?
Laurent Daure: Well, the savings are – the savings are given back to the customer as we had the contract at the start of the annual price reductions, we give to customer as we sign multiyear contract. And the savings we are giving are fully consistent with what anticipated in our previous plan so from that perspective very consistent.
Thierry Breton: And so when you back part of it and of course we keep -- the beauty of our job is to give best, we are the long-term contract and we give 1%, 2%, 3% every year depends and did of course the beauty is to put automation to artificial intelligence to put very deep, and then put all these kinds of stuff, to tell you the truth to keep the difference. And guess what, it works.
Operator: We will now take our next question from Gerardus Vos from Barclays. Please go ahead.
Gerardus Vos: Hey, good morning. Two if I may. Just first of all on kind of France, good growth there, you indicated this is largely due kind of the ramp up of a couple of hybrid contracts. Is this kind of growth around 5% sustainable into Q4 next year? And then just going back on the U.S., I am just trying to get my head around this because at the second quarter I think you indicated that you had a book-to-bill there 170% and gave guidance into the third and the fourth quarter? So I was wondering what could have changed that quickly to have changed that overall kind of picture. Thank you.
Thierry Breton: So two questions important but easy to answer, Elie.
Elie Girard: Thank you. Hi, Gerardus. So in France 49% in Q3 given the very high level of commercial activity, France will clearly continue to grow in Q4 next year. We anticipate may be not at the level of 5% in Q4, but still clear growth into Q4 and next year. And in the U.S. the 170% book-to-bill in Q2 contained quite many renewals and that relate by the way to the question of Laurent at the beginning of the call, successful renewals in Q2 and probably Thierry explained at the beginning not incremental deals that now the teams with Patrick are going to work on.
Thierry Breton: But we have good signature underway and probably are to be announced pretty soon.
Operator: We will now take our next question from Alexandre Beroud from CM-CIC. Please go ahead.
Alexandre Beroud: A quick question about the FX impact and the M&A impact over this quarter. Can we have the breakdown of those effects?
Thierry Breton: I think, Elie, it's for you
Elie Girard: For the next quarter -- so for the quarter, if we remain at the current spot at the end of September, we expect the same kind of impact of ForEx especially coming from the dollar and the pound. And for the M&A, we’ll have the impact from the small acquisitions realized in Q3 which will have a full impact on a quarterly basis in Q4. But you have to remember that until you end Equens, PaySquare, were bought at the end of September last year. So I think the impact from M&A in Q4 will be smaller than the one you had in Q3. Nevertheless, on the full year basis I am sure you noticed that we increased the guidance for the constant currencies growth from circa 9.5% to above 10%. Anyway we will give as usual with Gilles, we will give the exact pro forma at the beginning of next year.
Alexandre Beroud: Alright, thank you very much.
Thierry Breton: Okay thank you all. And thank you I think, sorry we still have one question waiting for us. Okay sorry.
Operator: We will now take our next question from Derric Marcon from SG. Please go ahead.
DerricMarcon: Thank you very much, guys. And thank you for taking my questions. I've got two if I may. The first one is about Unify. Excluding the U.S. drop or decline in revenues, am I right to think that Unify revenues were pretty stable year-over-year? That's my first question. And is it related to the strong cross selling activity you mentioned there. And my second question is about business and platform solution. What are country dragging down the performance in Q3? And where do you see the most upside potential for the quarters to come? Thank you.
Elie Girard: Hi, Derric this is Elie. So on Unify, without the U.S. we see had slight organic decrease in Q3. But again I repeat at global levels so including the U.S. we will have, and we continuing this improvement and progress trend to get to growth from total Unify in Q4. And that includes of course an improvement in U.S. So that's for your first question. Second question on business and platform solutions, we have there opportunities across the board, across the geographies. We have 107% book-to-bill in Q3, I think noticed that which is more than 10 points above the average. And that is very strong for Q3. And I think Patrick will announce in the next week some deals in France for example, very good deals new customers in the very next week. So you see the commercial activity in business and platform solution is really improvement. And as you go out for your question for geographies it's really across all geographies.
DerricMarcon: Thank you.
Thierry Breton: Okay, thank you. So I think this ends this conference call. I would like to thank you for attending it today. And wish you best to the end of the year. And we talk together next year. So thank you all, bye bye.